Operator: Welcome to the Builders FirstSource Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. Your host for today's call is Mr. Floyd Sherman, Chief Executive Officer. [Operator Instructions]. The company issued a press release after the market closed yesterday. If you don't have a copy, you can find it on our website at bldr.com. Before we begin, I would like to remind you that during the course of this conference call, management may make statements concerning the company's future prospects, financial results and business strategies and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from expectations. Please refer to our most recent Form 10-K filed with the Securities and Exchange Commission and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. We have provided reconciliations of non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in our Form 8-K filed yesterday, both of which are available on our website. At this time, I would like to turn the conference over to Floyd Sherman.
Floyd Sherman: Thank you and good morning. Welcome to our fourth quarter and fiscal year 2014 earnings call. Joining me today from our management team is Chad Crow, President, Chief Operating Officer and Chief Financial Officer as well as Marcie Hyder, Vice President and Controller. After I give a brief recap of our fourth quarter and fiscal year, I will turn the call over to Chad who will discuss our financial results in more detail. After my closing comments regarding our outlook, we’ll take your questions. So the level of new construction activity was not what we had expected in 2014, we were still able to deliver profitable top line growth while also expanding our product offerings and customer base by a multiple acquisition within very attractive housing markets. We reported sales of approximately 397 million for the fourth quarter of 2014 up 7.5% from a year ago. Excluding the impact of recent acquisitions our fourth quarter sales increased 3%. Quarter-over-quarter commodity price fluctuations had minimal impact on our sales. For fiscal 2014 we reported sales of approximately 1.6 billion up 7.7% over 2013 excluding the impact of acquisitions our sales for fiscal 2014 increased 5.8% compared to last year as sales volume grew 7.9% before 2.1% negative impact of commodity price deflation on our sales. From a single family housing start perspective, the Census Bureau reported 2014 actual starts in the South region which encompasses all of our markets increased 6% compared to 2013. I would also like to point out fiscal 2014 marked the first year of positive net income for us since 2006, the continued execution of our core strategies has helped us weather the worse housing downturn since the Great Depression and significantly improved our results. I feel honored to be working with what I believe is the best group of people in this industry and I'm very product of what we have accomplished over the past few years. I will now turn the call over to Chad who will review our financial results in more detail.
Chad Crow: Thank you, Floyd. Good morning everyone. For the current quarter we reported sales of 396.7 million compared to 369.1 million for the fourth quarter of 2013, an increase of 27.6 million or 7.5%. Excluding the impact of recent acquisitions, sales increased 3% largely due to higher sales volume as commodity price fluctuations had a minimal impact on our sales. Breaking down our sales by product category, prefabricated components were 79.1 million, up 9.8% from 72 million in the fourth quarter of 2013. Windows and doors were 92 million, up 11.2%, lumber and lumber sheet goods were 121.6 million down 1.5 million. Our millwork category was 44 million, up 25.1 million and other building products and services were 60 million, up 7% from last year. From a product mix standpoint, our value added product categories continue to make up a higher percentage of overall sales while lumber and lumber sheet goods declined as a percentage of sales. Our other building products and services category was relatively flat compared to last year. Gross margin was 22.8% in the current quarter, up from 22.4% last year, our gross margin percent increased largely due to improved customer pricing versus the fourth quarter of 2013. Increasing our gross margins as we continue to grow our top line was a focal point for us this past year and I'm very pleased to say we improved our gross margin percentage sequentially each quarter of 2014 resulting in an 80 basis point increase year-over-year. For the current quarter, our SG&A increased 9.4 million or 13.5%. Off the 9.4 million increase in SG&A 1.3 million related to stock comp expenses and 1 million related to depreciation and amortization both of which are non-cash items. The remaining 7.1 million increase was largely due to investments made in employees, equipment and facilities to support current and future sales growth. This includes incremental salaries and wages, equipment lease expense and facility rent along with expenses associated with acquisitions. As a percentage of sales SG&A expense increased to 19.9% compared to 18.8% for the fourth quarter of 2013. Off this a 110 basis point increase, 50 basis points related to stock comp expense and depreciation and amortization again both non-cash items with the remaining 60 basis points being associated with the aforementioned investments in growth infrastructure. Interest expense was 8.6 million for the fourth quarter of 2014 and 2013. We recorded 500,000 of income tax expense compared to 200,000 in the fourth quarter of 2013. We recorded a reduction of the after tax non-cash allowance on our deferred tax assets of 900,000 and 2.6 million in the fourth quarter of 2014 and 2013 respectively. As of December 31th, 2014 our gross federal income tax net operating loss available for carry-forward was approximately 245 million. Income from continuing operations for the fourth quarter of 2014 was 2.5 million or $0.02 per diluted share compared to 4.6 million or $0.05 per diluted share last year. Our adjusted EBITDA was 17.7 million or 4.5% of sales compared to 16.2 million or 4.4% of sales last year. Operating cash flow was negative 3 million for the fourth quarter of 2014 compared to 8.6 million in the fourth quarter of 2013. The primarily difference relates to a 12.3 million increase in our working capital in the current quarter while working capital was flat in the fourth quarter of 2013. During the fourth quarter of 2014, we used approximately 36.2 million of cash on hand to acquire Trim Tech of Austin and Empire Truss Ltd, marking the fourth and fifth acquisitions by the company since mid-2014. Capital expenditures were 11.2 million for the fourth quarter of 2014, an increase of 5.5 million over the same quarter of 2013 and primarily relate to the relocation of an existing facility in San Antonio and the opening of a new facility in North Houston. Total liquidity at December 31, 2014 was a 147.2 million including 17.8 million of cash and a 129.4 million in borrowing availability under our revolver. We had no new borrowings under our revolver during the quarter and had 30 million in outstanding borrowings at December 31, 2014. I’ll now turn the call back over to Floyd for his closing comments.
Floyd Sherman: Thank you, Chad. Our outlook is for a steady recovery in the housing market due to factors such as continued job growth, favorable mortgage rates and lending guidelines that appear to be easing. As the economy expands and the housing market moves back towards a stronger level of activity, our focus will remain on profitably growing our revenues while continuing to look for ways to gain share either organically or through acquisitions and to ultimately to improve our operating margins. I will now turn the call over to the operator for Q&A.
Operator: [Operator Instructions]. And we will take our first question from Trey Grooms with Stephens Inc.
Trey Grooms: Couple of questions, first off I mean you guys are doing a great job on the margins, congrats on that. It looks like that is starting to cut into your share a little bit, your organic growth up 3%. Single family starts were up I think 9% in the quarter in the south. First off do you think that’s the case, do you feel like you’ve lost some share in the quarter or is there something else going on and then secondly how do you think about balancing out margins in market share as we look through the next several quarters just going forward?
Floyd Sherman: I know the amount of business we’re walking from, it's definitely an indication that as we continue to try to move our margins up that we’re maybe flattening out, I think on an overall basis and then still for the year we gained a little bit of market share or just about flat. So we continue to really evaluate the position, we really don’t feel that we can start cutting prices and be able to hold the margin gains that we have made and that we currently are enjoying. We think it's very important to get our margins up, as the housing continues to recover, as conditions get better it's a heck of a lot hard to pull your margins up from 20% and get it back to a normalized rate of 24 to 25 than it is pulling it up from 23% and that’s what we really feel is the reason and the important reason why we want to continue holding our position on margins. If we feel it really starts taking away from our market share we may then decide to look at it. If you look at where the loss has come from it's primarily you will see it in our commodity products, the commodity products for the quarter were down actually 1% or 1.2% over where it was a year ago. Our gains we continue to make in prefab components they were up almost 10%, windows and doors were up 11%, mill work up 25% and then our other products were down about flat with market growth. So the big area that we are trading off is in the area of the lumber and panels or the commodity products and we’re trying to push our efforts into the higher margin products which we feel ultimately will be a lot better for us. We know we can get the lumber and panel business back if we want to go after it but it can also work against you in some of the other higher margin product areas that we have been concentrating in. So that in the long way around is hopefully answers your question.
Trey Grooms: Shifting now, Chad, you talked I guess in prior quarters kind of your thoughts on kind of how things are progressing in the current quarter. Would you mind giving us your view on kind of what you’re seeing right now and how you’re thinking about the March quarter and Spring selling season and in general any color that you can give us on that?
Chad Crow: It's really too soon to say exactly how the quarter might shake out, I will say that in January things were relatively flat with how we kind of ended the year. We started to see some moment a year or two in our daily sales and then we got slammed by the weather this past week in a lot of our markets and still have some locations that are even closed today. So it's a little too soon to try to guess, you know what top line might be. I think one thing you need to keep in mind Trey is on a sequential quarter basis. We do get hit with some extra SG&A, some extra pay roll taxes with the reset [ph] of social security. On a sequential quarter basis we start out in the whole about 50 basis points on gross margins just because the pay roll taxes alone and then on the SG&A side of things we would expect to pick up an incremental 3.5 million on SG&A between pay roll taxes and the fact that we have to start accruing for vacations at the beginning of the year. So just something to keep on mind on the sequential quarter basis, I still think Q1 of this year will be better than last year but it's really hard to say exactly where it all may fall out.
Trey Grooms: But just a point of clarity on that, when you said relatively flat with 4Q do you mean on an absolute sales basis or do you mean similar growth year-over-year growth is what we saw in the fourth quarter.
Chad Crow: Our sales per day at the end of the year where we were running was pretty consistent with how we entered the first of the year and how January played out and then we did start to see a pick up as I said till we got hit by some of the snow and ice.
Trey Grooms: My last question and then I will turn it over, it's going to be -- I know you guys are all over the Texas market, you know feet on the ground and really understand that market I think as well as anybody. You’ve been doing some acquisitions there, some greenfields with the new distribution facility in North Houston. Can you give us just some color on what your Texas exposure like as a percent of revs and then if you can help break that down as much as you can anyway into the specific markets between Texas that you’re in, that would be helpful. And then as the follow-on to that, what you got seeing out of that market, are you seeing any slowdown in any of these markets? What are your expectations there as we look into the next several quarters given the announcements we have seen from the energy companies and with the commodity and so forth?
Chad Crow: Right now our sales in Texas are probably 20% - 25% of our total revenue. I'm not going to try to break that down by market. I will say we have seen a slowdown in Houston on the more expensive homes, say 450,000 and up, those orders have seem to have slowed a bit. Really haven't seen much of a pull back on the lower cost homes in Houston or another markets in Texas at this point. So we’re all still kind of waiting to see if the other shoe is going to drop and a lot of that is going to depend on for how long a period of time the oil prices may stay depressed?
Operator: And our next question is from Philip Volpicelli with Deutsche Bank.
Philip Volpicelli: My first question is with regard to the acquisitions, you mad the two acquisitions in the quarter -- can you give us any indication on what the revenue or the EBITDA is for those acquisitions so that we can figure out what the leverage is on a pro forma basis or the multiple you paid for them?
Chad Crow: Timber Tech was 15ish million I believe on an annual basis and Trim Tech was a little bit higher than that on an annual basis.
Philip Volpicelli: And that’s revenue Chad or that’s EBITDA?
Chad Crow: That’s correct, that’s revenue.
Philip Volpicelli: Okay. And should we think that the margin profile is similar to your margin profile or how should we think about that?
Chad Crow: Those are very heavy value adds, so their margin profile is going to be a little heavier than our overall Builder's FirstSource margin profile. But I would that consist with similar operations within our company.
Philip Volpicelli: So can you give us like an aggregate multiple -- what I'm trying to do is obviously you have spent the 30 million of cash in the quarter so your net debt looks like it's gone up but in fact you know all you’ve really done is added the EBITDA, so I'm trying to figure what the impact is on your net leverage?
Chad Crow: No we’re not going to give EBITDA on those acquisitions.
Philip Volpicelli: And then I think Trey, was trying to get to this point the revenue per start in the region is down about 4% in the fourth quarter and that accelerated from the negative 2.9% in the third quarter. Is that because your building lower priced homes, is that a mix issue, what's driving that decline in revenue per start?
Chad Crow: I think part of it as Floyd mentioned is the fact that our [inaudible] lower margin business, so anytime you do that you’re going to lose some share. Commodity deflation, the impact on the quarter was minimal, it was slightly negative, we just didn’t feel like it was worth disclosing. You know you talk to our guys in the field and they will tell you they don’t feel like they are losing any share that they didn’t want to lose because of price and so I don’t know if there is a little noise in the starts number, I don’t know if it's our mix of customers that maybe aren't pulling as many permits as others in the region. You know it's really hard to tell on a one quarter basis and even sometimes two quarters for that standpoint. So I think the spring and early summer selling season will really be the fruits in the pudding to see how we’re doing on a share basis.
Floyd Sherman: But I would even say, Chad, on a year basis our loss in revenue per start is all coming out of our lower lumber cheap good. For the year our prefab components, the sales growth was up almost 13%, windows and doors up almost 16%, mill work 17%, if you look at lumber, lumber sheet goods down 8/10ths of 1% and so that -- and that’s a third of your business. If you look at the other building products which is primarily install and we definitely have pull back on our install because of difficulties of acquiring labor, keeping labor, being able to price labor and so forth that was only up 4.3%. So while we maybe have lost a little bit of revenue per share we were totally able to make up [ph] in those products. We have been able to move up our margins substantially, 80 basis points and a highly competitive market. I think it's an indication that our strategy is good, we still produced more bottom line EBITDA, we still produced a gain in sales. So if I saw it's losing it across the board and all those categories I will be a lot more worried than I'm now. Anytime we want to go and get a lumber sales and panel sales you can do what if you want to drop your doors.
Philip Volpicelli: And then on the windows and door space, the manufactures there have been announcing price increases, one have those price increases being sticking and two have you had any problem passing them along to your customers on specifically windows and doors?
Chad Crow: The price seem to be sticking, it's always the bottom to raise prices but we have been pretty successfully in passing those along.
Philip Volpicelli: Okay. And then last one for me, with the potential headwinds in Texas from what's happened with oil and gas, would that make you more conservative on the acquisition front or how you’re thinking about acquisitions in 2015?
Chad Crow: We’re still certainly interested in acquisitions, the pipeline still seems pretty full. We would probably give a little harder thought to more acquisitions in Texas right now until we see how the oil situation is going to pan out. But we’re going to prudently aggressive no matter what the situation is or what the economy is like. So I don’t know that it is really going to change our strategy all that much other than maybe like I said given opportunities in Texas a little bit more thought.
Floyd Sherman: And I think you also, as Chad -- we’re looking harder for acquisitions that can maybe move the needle more than some of the acquisitions that we have done takes a tremendous effort and time on a lot of people's part on some of the smaller acquisition, you’re going to put in that same effort and time on a larger acquisition and so we’re looking harder for those type of acquisitions that we feel can give us a lot more scale than what we have been doing.
Chad Crow: Yes. And then we have tapped the breaks the last couple of months and we’re just trying now to digest and integrate the six that we have done recently.
Operator: And our next question comes from Jay McCanless with Sterne Agee.
Jay McCanless: First question on the comments that were in the release about lumber deflation, not having an impact this quarter? I was surprised to see that and just wanted to find even with OSB still down year-over-year and framing lumber up a little bit, is that finally getting to the point now where OSB is not going to be a drag on numbers going forward and how are lumber prices right now cash prices looking?
Floyd Sherman: I would like to have been able to say that, we saw a strengthening of the commodity pricing in the fourth quarter. Lumber started moving up, panels started moving up and then towards the end of December the market started following again. If you look at currently where we’re in the midpoint in February, we’re now looking at the framing lumber composite is down versus where it was a year ago by almost 8%, panels are down close to 11%. I don’t know how much the extreme weather that we’re experiencing in the mid-west and north-east is effecting the pricing on Lumber panels right now. I suspect it is having a significant effect. Our feeling is still that we’re going to continue to see a commodity pricing during 2015 that’s going to be very similar to what we had seen in 2014. We probably saw the tightest band of trading within the year that I can ever recall. It stayed within about a $40 band on lumber and even a little bit tighter band on panels. We didn’t have the extreme volatility that we have seen in the past and I think that’s going to be more of what we’re going to see through 2015. There is still is adequate capacity, in fact still too much capacity chasing too little demand. So, I think what we’re seeing right now is more weather driven than it is what we’re going to see in market pricing. I really suspect that we’re going to see some increase in lumber panel prices as we run out through March.
Jay McCanless: The second question I had was on the fourth quarter SG&A number and I apologize if you’ve already talked about this but were there any onetime items in there that we can take out for next year?
Chad Crow: I don’t know if there is anything in there you can take out about on a percentage of sales basis about half of our increase quarter-over-quarter was stock comp and depreciation and amortization. So obviously non-cash items but those numbers will carry on into 2015. The others as I’ve said were more investments in our current growth -- our future growth, investments in employees, delivery equipment, facilities and so those will carry through 2015 but obviously the hopes there is we’re able to leverage those against increasing sales as the year goes on.
Floyd Sherman: For the quarter our salary and wages if we look at that, we flexed about 66% variable to sales growth. The [inaudible] also can that I would hope that we can see an improvement next year with our health insurance. We really got clouded [ph] again in the fourth quarter with an increase in group health, almost a 1.2 million over fourth quarter a year ago. The last couple of quarters have been really, really tough. I don’t know whether we’re seeing some of the what we may be seeing on long term basis that’s been created through the Health Reform Act. I suspect that’s part of it but it also just maybe, it was our time to really experience some very, very cost claims. But our professional services and that will probably continue as long as we continue doing our -- the acquisitions and we’re active in that area, that added over a $0.5 million of unusual cost to us. So just so couple of items. You’re looking at right around $2 million or so of what I would say is unanticipated or unexpected cost.
Jay McCanless: And then the last question I had Floyd, was going back to making an acquisition that would actually increase your scale and give you guys a bigger footprint, what has to assuming that the market continues to trend up a little bit in the south-east. Are you just going to have pay more if you want to get that scale or do you think it's more of a situation where the market needs to roll over a little bit and slow down where those people are ready to sell? Can you give us some more color around what you’re thinking on that?
Floyd Sherman: I think it's probably going to be a combination of both of those things, the -- I know there is -- there appears to be some situations developing where people are trying to get what they think will be a better trailing 12 EBITDA I think we will see some things maybe loosen up in the Spring. Well we’ve to pay more typically -- you’re willing to pay a little bit more if the value is there and we have to really see that the value is there, we got to see that there is good expansion take abilities in the business and if we can expand the profitability in the business that we don’t have to put in a lot of capital expenditures, those things will probably say that we’re going to have pay more. But so far on what the businesses we have bought, I think we bought a very good value propositions. I suspect the larger ones we’re going to probably have to raise the bar somewhat. Chad do you have any different views in that?
Chad Crow: I think that’s right, I think the fact that the market is not growing at the rate that maybe year ago folks thought it would is certainly one of the reasons we have seen the pipeline fill up even more from an opportunity standpoint.
Operator: [Operator Instructions]. And we will take our next question from Sam McGovern with Credit Suisse.
Sam McGovern: Just following up on the M&A theme, to the extent that you do see increased opportunities with the pullback in Houston, is it, would that be some place you would go further into and then also would you guys be looking to sort of expand geographies or would it just be sort of in-fill in your current footprint?
Chad Crow: We’re certainly not going to rule Houston out, if something interesting came along we would definitely take a look at it. As far as expanding geography, the most likely scenario will be to strengthen our share in our existing markets or maybe expand into adjacent markets. We’re not opposed to going outside of our current footprint. I think that would require an acquisition of a little more size. I wouldn’t make a whole lot of sense for us to acquire one or two locations that were a significant distance from our current footprint but something of more size we would certainly look at other geographies as well.
Sam McGovern: And just on the window side, can you update us in terms of what you guys are seeing in terms of demand there and any updates in terms of vinyl pricing?
Chad Crow: Demand on windows are still very strong.
Floyd Sherman: The big thing that we’re seeing in the window arena, most of the manufactures announced price increases typically ranging from 4% to 5% to as high as 9%. We certainly have seen these increases, we are in the process of passing them on because especially where we purchase for resale we don’t have any choice. We got to pass those increases on or we will suffer real margin hit. Where we manufacture windows here in Texas, we also increased our prices. We started putting those price increases at least informing the customers late last fall and so they are going in during the first quarter. We should have probably 80% of our customers on the new pricing and then the rest will fall into the second quarter. But it's tough to get to price increases and you’ve to be prepared to welcome some business. If you can't get what you believe is a responsible price and something that you need to go forward with. The build throughs [ph] are not taken price increases at all favorable but if your service is good, your quality is good the representation with your people on the job site, if you’re doing it better than other people then you can hold the business. So far for the most part we’re holding the business.
Operator: And our next question is from Rob Hansen with Deutsche Bank.
Rob Hansen: I just wanted to ask about acquisitions in a different way, more in terms of how long does it take to integrate one of these companies, you guys have done six deals and to get linked on your IT systems so everybody is all on the same page.
Chad Crow: Typically we can get that done in a couple of months, we have got three of the six done that we acquired since June 30, and they have been working on the other three. We had to pause a little bit just because of our fiscal year end and other activities that are involved with that but usually a couple of months for each of them.
Rob Hansen: And then in terms of acquisitions just, how do you look at -- what is the criteria for generating value in acquisition and how does that change in a larger style acquisition?
Chad Crow: Well the criteria is certainly customer mix, product mix, the strength of the market they are in play into all decisions as far as comparing a small deal versus a large, with a large deal you’re probably going to have more home office type synergies that you can achieve as opposed to a small deal. Hopefully on the purchasing side you will get a little more leverage there. Those are probably the two main differences between a large and small deal.
Floyd Sherman: Yes, and then in the smaller deal you probably have far less potential for customer overlap because you’re looking at a specific niche to maybe strengthen yourself in the market in the area that you’re not serving, in a larger you’re definitely going to have some overlap. This is such a highly fragmented business and there is so many competitors that customer has to choose from that really isn't a significant problem, I don’t think that we will see going forward.
Rob Hansen: And then one last one, just on the six acquisitions that you’ve done, what percentage of kind of the revenue would you say is on the commodity type lumber products versus the higher margin, more value added products?
Floyd Sherman: Well for the six do very little in the way of lumber and commodity type products. So I would say of the six acquisitions their commodity lumber mix may only be 10% to 15%. So we only have got some in Houston and some in Orlando [ph].
Operator: And our next question comes from Justin Bergner with Gabelli & Company.
Justin Bergner: Most of my questions have answered, I think on the last call you indicated that you were planning the business around 10% housing start growth in 2015, does that remain the case and do you think competitors are sort of planning their businesses around similar levels?
Chad Crow: That’s still the case for us, we’re budgeting for about 10% increase in starts. I don’t know I really can't speak to what our competitors are doing but folks have had the chance to talk within the industry. I would say 10% is more than norm. Some are little higher than that but I would say 10% to 12% is probably what I’ve heard from most folks.
Justin Bergner: And then secondly what would need to happen for you to stop walking away from some of the business that you’re walking away from? What has to happen in the marketplace for that business to become attractive again?
Floyd Sherman: Better pricing. The business that we’re walking away from is strictly an issue of price and the margin contribution that we can get out of it and it's primarily in the commodity area and in the install area. Install we got to see some stabilizing in area of labor and labor cost, labor availability and labor cost and in commodities it's a matter of pricing. When time in and time again we’re seeing commodities being priced on a delivered basis to a job site for low single digit margins, hell, we can't even get our croc [ph] out of the yard for what we see in some of the pricing. And so I think the level of housing activity as it begins to eat up and put supply in a tighter constraint, I think you will see the commodity pricing come up and to where people start getting will be more realistic in what they are looking for in a way of pricing for lumber, lumber sheet goods.
Operator: And our next question is from Paul Betz with BB&T Capital Markets.
Paul Betz: Sorry if I’ve missed this, the investments that we’re seeing in SG&A, I think it's kind of an incremental over the past two quarters. Do you see that continuing in maybe the first half of next year or have you invested enough to accommodate that 10% growth that you’re looking for next year?
Chad Crow: I would expect the adds to certainly slow. I think we’re in pretty good shape and we should be able to leverage our cost structure very well against the anticipated volume next year. So it is an investment for this next year for 2014 but I do think it was necessary, we made the decision -- to cut certain folks loose, not to give rid of extra equipment, to go ahead and put some investments into some new facilities and I do think we will start to see pay off this year.
Paul Betz: Do you think you will get your -- I think you’ve had a long term goal of maybe 18% SG&A, do you think you will get back down to that in 2015?
Chad Crow: Probably not all the way down to 18 but certainly a good chance of getting back around mid to upper 18s, a lot of that is going to depend on commodity lumber pricing as well because certainly higher lumber prices makes it much easier to leverage our SG&A.
Paul Betz: And one last SG&A question, you said something about 3.5 million sequential increase in SG&A, what was that from?
Chad Crow: Payroll taxes, the reset [ph] in the first quarter and vacation expense. We’ve a use it or lose it policy, so we have to accrue for vacation the first couple of quarters of the year and then we’re able to reverse that accrual and that alone will be probably a $1.7 million increase in Q1 SG&A versus Q4, combined the payroll taxes and vacation will be about 3.5 million.
Operator: [Operator Instructions]. And we now go to Trey Grooms with Stephens.
Trey Grooms: Just a couple more real quick ones, Chad, would you expect to see any benefits from the lower diesel prices or increased driver availability there in Texas. I know it's a challenge for a lot of folks but any thoughts on that, any benefits you could see?
Chad Crow: We could see some free up some drivers which could help from a fuel standpoint. Our fuel typically runs 1% to 1.1% of sales, so there is the potential there to pick up 15 or 20 basis points I would think on the fuel side of things if these prices stay down.
Trey Grooms: And over the last few years has the driver availability really been a headwind, as far as wages?
Chad Crow: Yes, constantly having to make a decision. Our drivers are being poached from competitors, other industries and we’re constantly having to evaluate whether to bump their pay to keep or let them go but that’s still the case, it's still very tight.
Trey Grooms: Okay. One last one and you mentioned, Floyd, I think you talked about some price movements you’ve seen in some of your material like window specifically, can you comment on any other price movements you’re specifically maybe in doors? I know there was quite a bit of movement last year but just anything that you’re kind of expecting for this year?
Floyd Sherman: Yes we’re definitely seeing it indoors, that’s announced -- found in the marketplace. Your trim mouldings, interior finish out items signing all of those things seem to be [inaudible] right along with one another. The insulation even though we really don’t do a great business in insulation or cheap rock [ph] those items have also had significant increases. So in the -- some of those items have done a year or two without and really had not gotten the increases that they have needed and it almost seems like most of the manufacturers have taken a position. We either get it now or we got to begin looking for another approach to the business. And so lot of desperation [inaudible] are getting better pricing.
Trey Grooms: And then my last one is just housekeeping and I may have missed it in the comments already but Chad, D&A and CapEx for this year given the acquisitions that are in place?
Chad Crow: I think our D&A will be 15 million to 16 million for the year. CapEx we’re probably looking at around 25 million, about half of that will fleet delivery related and then the rest is investments in equipment and some facility expansions.
Operator: And we have no further questions in the queue at this time.
Floyd Sherman: Okay. We appreciate everyone joining the call today. If you’ve any follow-up questions don’t hesitate to give Chad or Marcie a call here in Dallas. Thanks and have a great day.
Operator: This concludes today's conference. Thank you for your participation.